Dick Gauthier: [Call starts abruptly]…the First Quarter 2020 Conference Call for UFP Industries. Hosting the call today are CEO, Matt Missad; and CFO, Mike Cole. Matt and Mike will offer prepared remarks and then the call will be opened up for questions. This conference call is available simultaneously in its entirety to all interested investors and news media through our webcast at ufpi.com. A replay will also be available at that website through June 7, 2020.Before I turn the call over to Matt Missad, let me remind you that the April 22 press release, yesterday's quarterly filing and today's presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company's expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in the press release and in the filings with the Securities and Exchange Commission.Now, I would like to turn the call over to Matt Missad.
Matt Missad: Thank you, Dick and good morning everyone. We appreciate you taking the time to listen to our first quarter 2020 investor call. We delayed our normal call due to our desire to try to get more accurate information about the probable impact of COVID-19 on our 2020 results. While we definitely have more information than we did two weeks ago, the picture remains far from clear today. What is clear to me is the strength and experience of our leadership group, the incredible work ethic of all of our team members and a bright future once the virus and its impacts are behind us. I will briefly review our first quarter and trust that you have already had time to digest the numbers.First, I'd like to congratulate the UFP family members for an outstanding performance through mid-March when the responses to COVID began to impact our operations. Our team members produced record net sales, record net profits and we're well-positioned to continue our growth trajectory. These individuals have worked tirelessly to make sure we have safe working conditions while providing the products and services our customers' needs.By markets, the Retail market saw our unit sales growth of 9% in the quarter. Our ProWood branded treated products, UFP-Edge products which consist of siding, pattern and trim items and Dimensions, which is Home and Decor products, all had strong double-digit unit sales growth. Outdoor Essentials, which consists of Fence and Lawn and Garden products had an 8% unit sales growth. The Deckorators branded products lagged 2019 unit sales by 14% due to the initial stocking orders in 2019 and the lower inventory positions established by our largest Deckorators customer in 2020. The customer increased the inventory targets after quarter end and we still expect to achieve our unit sales targets for Deckorators for 2020.Earnings in Retail were up 40%, well in excess of unit sales growth. Overall Retail has been holding strong as an essential business in the current environment and given some sawmill curtailments, the strong sales have caused product shortages in some items. We expect the sales trends to continue and are grateful for our vendor relationships in times like these, which are a great advantage as we serve our customers.The Construction market saw unit growth of 6% and sales growth of 4%. Concrete Forming grew 15%, Factory Built grew 12%, Commercial grew 3% and Site Built was up 1% in unit growth. Earnings were up 12.2%, more than double the unit sales growth. Construction order files remains strong. Since many States delayed new starts, we expect the backlog to decline after the economy reopens and anticipate a recovery once new starts catch up.The Industrial segment had flat unit sales in the first quarter. Earnings declined 4% versus 2019 as SG&A cost increases were larger than the gross profit increases. In the new operating structure, the Industrial segment will be expected to better leverage their sales teams, their design and engineering teams, and their management teams as they grow sales. The Industrial segment experienced COVID impacts in March and saw a decline in customer demand from existing customers at the end of the quarter. International business sales were flat versus 2019. However, profitability improved as the product mix and customer screening improved. The international operations are affected by COVID too and the sales will be impacted in quarter two, particularly in Australia.We continue to push for more and better new products. Our Dimensions project panels and our new Outdoor Essentials picnic table are examples of products seeing strong sales growth. New product sales for the quarter were $97.6 million and are in line with our target for the year of $450 million. The lumber market increased slightly during the quarter as the Random Length Composite Index rose 8% from the beginning of the quarter and the Southern Yellow Pine Index rose 5%. As the COVID shutdowns took greater effect in early April, the lumber markets dropped as Random Length Composite fell nearly 14% and Southern Yellow Pine fell over 8%. Over the last few weeks, both indices have rebounded. Currently the Composite Index is a little over 2% above 2019 levels while Southern Yellow Pine is down a little over 8% from a year ago. Some of those curtailments and COVID shutdowns have helped the market recover, and we are monitoring the reopening timelines. Our inventory positions are in line with our sales forecast and capital management focus. We do not currently have excess safety stock in most of our product lines.So with the first quarter in the rearview mirror, what does it look like going forward? Fortunately, most of our business has been deemed essential by the various State governments and we have been able to operate most of our facilities, albeit at a lower capacity utilization. Our labor force has declined 10% with a combination of temporary labor, temporary layoffs, and some permanent layoffs. We hope to be able to bring back all of our employees who are on temporary layoffs, assuming they're willing to come back. Some have already indicated they prefer to stay out until the CARES benefits expire at the end of July.We have established a variety of contingency plans to further rightsize our business in the event additional stay-at-home orders are enacted, existing orders are extended or other restrictions are placed on our ability to operate. Our best guess contemplates a reopening of the majority of the U.S. economy outside the high COVID concentration areas on June 1, 2020. We expect a phased, rather than a full opening at that time. Based on what we are seeing through April, we expect the financial impact on our Industrial segment will be the greatest while the Retail Solutions segment should show the smallest impact. Looking at end customer impact in agriculture, durable goods, outdoor equipment and certain OEM furniture manufacturers can give us a good indication of the impact on our Industrial business.At present time, we hope for a full reopening of the economy by August 15. Once businesses are reopened, we expect some modest supply chain impacts as companies begin to rebuild inventories. As these scenarios will improve and we are able to operate within those parameters, our internal modeling shows that we will still generate significant cash flow and net income in 2020 and we will be very well-positioned for a full recovery in 2021.Right now, let's take into account our highly variable cost structure in both our manufacturing operations and SG&A based in part on the alignment of our incentive programs to big-box and ROI. As you know, we have a very strong balance sheet and have increased our capital availability during the last several weeks. While we keep a watchful eye on the financial strength of our customers, we still see several opportunities to execute our strategic plan and continue on our long term path to improving sales growth, profit growth and shareholder returns.We still maintain our capital allocation philosophy about returns to shareholders and expenditures for growth, new products and manufacturing efficiencies. We are reducing our capital expenditure budget by $20 million as delays in getting equipment, coupled with the opportunity to consolidate existing capacities will either defer the spend or eliminate the need for the spend. Yet, we still have an ample pipeline of acquisition opportunities. We are optimistic that some targets within our strategic plan will become available on more favorable terms over the next 12 to 18 months and our capital availability puts us in a strong position to take advantage of those opportunities.We continue to pay a modest cash dividend. Including the $0.125 per share quarterly dividend payable in June. This amounts to a 25% increase over the dividend paid in the first half of 2019. And we also repurchased shares at a favorable price relative to their recent issuances under our share based compensation plans. Some investors look at 2020 as a pause year and look at 2021 as the new base from which to grow. In my almost 42 years with the company, I've seen that our teams have not been good at pausing. We do understand that some things are out of our control. So we will focus on the things that we can control. Our efforts will be focused on executing our strategic plan and we aren't waiting for 2021 to do that. If the economy waits until 2021 to catch up, so be it, but we are moving forward now.For those of you weary of having every conversation or broadcast centered on COVID, I want to change topics for a minute and talk about the great non-COVID things that have happened and continue to happen at UFP. We celebrated our 65th birthday as a company in February 2020. Unlike many people that retire at age 65, we decided to go for a rebirth. The shareholders approved our name change to UFP Industries in April. We think the new name more appropriately describes who we are today and where we are headed in the future. More importantly, we reorganized the company to better position our future success. Our reorganization into a market-based, rather than a geography-based model has gone very well.We anticipated short-term increases in SG&A expense, while we drive deeper business unit growth and expertise and believe that these increased investments will yield significant positive results far in excess of the investment amounts. While no structure is perfect, we are seeing even more opportunities for improvement than we initially identified.And now, I'd like to turn it over to Mike Cole to review the first quarter financial results.
Mike Cole: Thanks, Matt. Starting with highlights from the income statement.Overall, net sales for the quarter increased 2% with a 5% increase in units, offset by a 3% decline in selling prices, primarily due to lower lumber prices for Southern Yellow Pine. Organic growth was 4% and was driven by an 8% growth rate in our Retail segment and 6% growth by our Construction segment. Developing new products continues to be a key strategy for growth and margin improvements and new product sales grew 7% this quarter, an increase of $6.3 million over last year.Breaking down our sales by segment, sales for the Retail segment increased 6%, resulting from a unit increase of 9%, offset by a 3% decrease in selling prices. Acquisitions contributed 1% for our unit growth. Our unit growth was strong with big-box and independent retail customers reflecting strong consumer demand. New product sales for the retail segment were up 9%, but would have been higher if not for an anticipated sales decline of certain Deckorators branded products. If you recall, we faced a tough comparison this year as there were large first-time inventory builds at stores that took place in Q1 last year.Sales for the Industrial segment declined 7%, driven by a drop in prices as unit sales remained flat. Recently acquired companies contributed 2% to unit growth, but this was offset by a 2% decline in sales out of existing locations. Sales to new customers contributed $5 million to our sales this quarter and helped mitigate the decline in demand of our existing customers. We continue to focus on enhancing our product mix to maximize sales of higher margin value-added products and we're pleased to have maintained our margin improvements in this segment.Our sales for the Construction segment increased 4% due to a 6% organic unit increase, offset by a 2% decline in selling prices. Within this segment, unit sales increased 15% for Concrete Forming, 12% for Factory Built Housing, 3% for Commercial, and 1% for Site Built Construction. Our strong unit growth of Concrete Forming was due to market share gains with existing customers and our increase in shipments to producers of Factory Built homes was due to an increase in industry production.Moving down the income statement, our first quarter gross profits increased by $13 million or 8%, exceeding our 5% growth in unit sales as our profit per unit improved. The overall gross profit increase was comprised of a $9 million improvement in Retail, and a $2 million improvement in Construction. Our gross margins increased 100 basis points to 16.2% this quarter. We believe 50 basis points of the increase is due to the pass-through impact of lower lumber prices. The remaining 50 basis point improvement was due to a combination of effective inventory positioning, favorable changes in product mix and strong organic growth in our Retail segment, which allowed us to leverage fixed costs.Continuing to move down the income statement, SG&A expenses increased $4 million or 4%, which was less than our 5% increase in unit sales and was better than our internal plan. The dollar increase was primarily due to $2 million increase in accrued bonus expense to $14 million for the quarter due to our profitability increase and $1.5 million increase due to acquired businesses and $1.5 million due to compensation-related costs and sales incentives. These increases were offset by decreases in a variety of accounts.We continue to focus on lowering our SG&A as a percentage of gross profit and we're pleased to report a drop from 68% last year to 65% this year. Driven by these positive factors, we're pleased to report that our operating profits increased by 21% or more than 4 times our increase in unit sales. Below the operating profit line, Ardellis, our insurance captive recorded a $3.2 million unrealized loss and equity investments held in its portfolio in the first three months of 2020 compared to a $1.3 million gain in the same period of the prior year. Fortunately, we're benefiting from the rebound in equity prices in April.Moving on to our cash flow statement, our operating cash flow this year improved by almost $10 million compared to the same period last year, primarily due to an improvement in earnings and an increase in non-cash expenses as our additional investment in net working capital since year-end was comparable in both periods. We measure our cash cycle to assess our working capital management and for the first quarter, it improved to 59 days compared to 65 days last year due to a reduction in our day's supply of inventory.Investing activities primarily consisted of capital expenditures totaling $27 million including expansionary and efficiency CapEx totaling $10 million. We've also spent nearly $19 million on business acquisitions primarily for Quest Design and Architectural Millwork in March. Financing activities consisted of $3 million in net debt repayments, almost $8 million of quarterly dividends and $29 million of share repurchases as we were very active returning capital to shareholders during the quarter.With respect to our balance sheet, our net debt at the end of March was $131 million compared to $268 million in net debt last year and we're pleased to report our total liquidity was $392 million at the end of March, consisting of $32 million in cash and $360 million in availability under our revolving credit facility. At the end of April, our liquidity improved to $433 million, providing us with ample resources to operate our business and take advantage of wise investment opportunities during this challenging time.While we're very pleased with our Q1 results and the strong performance of our people, we understand your primary interest is in our forward outlook and we've provided some information in our 10-Q, we hope is helpful to you. I'll provide some highlights here. As you'd expect, the demand of our customers has declined, but fortunately the vast majority have been deemed to be essential businesses and our plants that serve them are essential as well. As a result, we found it necessary to only close three of our 150 operations during this crisis. Given the amount of uncertainty in the economy and our end markets, we don't believe we can provide an accurate target for unit sales growth in upcoming quarters.At times like this, we feel the diversity of our business is a strength and we believe you should consider our key end market indicators when evaluating forecasts of future demand.With respect to profitability, we've analyzed our variable and fixed cost structure, our current business mix and a variety of other factors to evaluate the impact of a material decline in sales volume on our earnings from operations. Based on our evaluation, we believe our decremental operating margin and a decline in sales is in the low-to-mid teens. However, there are a variety of factors that impact assessment, which are listed in our 10-Q and should be considered.We've reduced our capital expenditure budget to $80 million from $100 million this year as we re-evaluate the necessary timing of certain maintenance and expansionary CapEx. Our managers have been diligent in managing receivables and inventory and we believe we can maintain a cash cycle consistent with historical performance. When considering all of these factors, we're confident we can maintain our strong liquidity position during this challenging time and continue to position UFP for continued success in the future.That's all I have on the financials. Matt?
Matt Missad: Thank you, Mike. Now I'd like to open it up for any questions you may have.
Operator: [Operator Instructions] Your first question comes from the line of Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Hope that everyone is safe at the UFP family.
Matt Missad: We are, Ketan, thank you. Hope you are safe as well.
Ketan Mamtora: Thank you. Just first question and I appreciate it's difficult to give out sort of forward-looking volume guidance when things are so fluid and changing, but is it possible at all to give us some sense of how demand trends have been in April so far and are there any particular bright spots or weak spots in terms of what you are seeing?
Matt Missad: Yes, I think that's a good question, Ketan, and we'll try to point to some objective standards that are out there. So obviously you can keep an eye on what the retailers are doing, and I would say, as we mentioned before, that is a - certainly a bright spot in this time. And I would also say that on the Industrial side, we called that out and there has been fewer of the businesses there are operating as compared to, like, Retail, for example. So the bigger impact on Industrial and then on the Construction side, that's somewhere in the middle at this point and again where it's been essential, it's been fairly close to business as usual, where it's deemed non-essential, obviously, it's impacted.So hopefully that gives you a little bit better color but.
Ketan Mamtora: No, that's helpful. And Matt, on the Industrial side, is it possible at all to kind of quantify how April has been so far?
Matt Missad: I think, obviously, and it's possible, I think the challenge that we have, Ketan, as we look at it is, is that really a good indicator for what it should be going forward. We don't want anyone to take kind of the wrong view, whether it's either more positive or more negative. So I think that's the challenge. So what we are trying to do is take a look at what the end markets look like and what those called out customer types look like. And based on again available information out there, we think that you can get a pretty good idea about which markets are going to suffer a little bit more and which ones are still remaining strong.
Ketan Mamtora: Okay, that's fair. And then just switching to CapEx for 2020, just give us some sense of kind of how - what you think is the sort of core maintenance expense and within that sort of $80 million, are there any big buckets of discretionary CapEx which you could defer in case things were to worsen.
Matt Missad: I'll let Mike address kind of the maintenance CapEx piece of it and I guess, what I would call out is there is still a significant amount of automation and manufacturing efficiency spend that we have in the remaining amount. But, Mike, can you cover the kind of the maintenance?
Mike Cole: Sure, normalized maintenance, Ketan, would be in the neighborhood of depreciations on the $60 million to $65 million. But in times like this, we can always defer some of that and tighten that up a little bit, so perhaps, three quarters of that from past experience, we've been able to take that up a little bit and push those out.
Ketan Mamtora: So just to be clear, so three quarters of that $60 million to $65 million, you can defer it. Is that the right interpretation?
Mike Cole: Correct. And that's incorporated within the $80 million revised forecast that we're talking about for 2020. So we've already considered for the $80 million.
Ketan Mamtora: I see. Understood. And then just a quick one, what is left by way of the authorization in terms of share repurchases?
Mike Cole: A little over 1 million shares, Ketan.
Ketan Mamtora: Got it. Okay, thank you very much and I'll turn it over.
Matt Missad: Thank you, Ketan.
Operator: Your next question comes from the line of Paul Betz with Stifel.
Paul Betz: Good morning, everyone.
Matt Missad: Good morning, Paul.
Paul Betz: I hate to harp on April, I understand you don't want to give qualitative numbers, but can you comment maybe on the weekly trends in April?
Matt Missad: So I guess what I would say, it's fairly predictable based on when the closures occurred. So I would say that early April obviously was the toughest part. And then if you kind of follow the trends in the lumber market, that also gives you a good trend for kind of business demand. So, beginning of April, we started to see the market fall and fall pretty significantly by the end of April and it kind of come back, as I mentioned in my remarks, one of the things that I would point to that helped that, was some rationalization of supply by some of the sawmills.So you have to take that into consideration, but if you want to look at trend lines, that would be a good way to do it is that, it was improving at the month end.
Paul Betz: Okay, thanks for that. And the restructuring, can you provide an update on that? Does this environment make it more difficult or easier? I think you originally said you found like $20 millions of savings and your prepared remarks said you may be found larger opportunities, does that mean more savings than the $20 million?
Matt Missad: Yes, I think that's a good question. So first of all, on the whole, I think our reorganization has gone extremely well. Our people have embraced it and are really driving the type of change that we were hoping for. I think some of the things that are coming out of it, Paul, that are things that we didn't think we would get to right away, partly because of our individuals having time not being able to travel as much as they normally would. They've been able to focus on some other issues, and I think in terms of building out their strategic plans, getting more definition to it and finding ways to help leverage our existing cost structure to drive greater sales in the future. I think those are the types of things that we haven't really looked at.So in terms of kind of cost savings, we're really not driving so much that part of it. We're driving the leverage of our existing personnel in our existing facilities better than we thought we'd be able to. And I think that's going to help us as we grow sales to keep our costs lower.
Paul Betz: Okay, thanks for that. And you mentioned M&A pipeline pretty full. Are you able to make acquisitions in this environment or is that kind of delayed as well?
Matt Missad: Yes, what we are doing is, obviously, we have a consistent pipeline of activity and we've continued to work on those targets that are in the pipeline and we're prepared to move forward and complete those acquisitions. We also have new targets entering the pipeline. Obviously, the timing of those is going to depend on the availability to do due diligence and travel and do the types of things that we would need to do to complete them, but we are still moving forward in this environment. We are very optimistic that we should be able to accomplish them again assuming valuations and everything works out the way that we expect.
Paul Betz: Okay, thank you very much. That's all from me. Good luck.
Matt Missad: Thank you.
Operator: Your next question comes from the line of Reuben Garner with The Benchmark Company.
Reuben Garner: Thank you. Good morning, everybody.
Matt Missad: Good morning, Reuben.
Reuben Garner: Glad to hear you guys are doing well and staying safe. Let's see. so first, I missed a good portion of the prepared remarks. I had some technical difficulties getting on. So, sorry if I repeat anything. Maybe I'll start on the Retail side, a lot of talk about how the DIY portion of the construction industry is doing pretty well in this environment. Can you provide us any kind of color on maybe what portion of your Retail business you think is exposed to that part of the market?
Matt Missad: Yes, I think if you kind of look at the DIY piece of it, a very significant portion of our overall business is DIY on the Retail segment. And there are obviously our individual independent retailers that are continuing to operate having been deemed essential businesses as well. So overall, if you kind of look at the whole retail area, that's been very good through this process. So whether that continues or not, obviously, we can't forecast that. But that's been good to date, and that would have covered all of our product lines as I laid out and Q1 gives you a good indication of that information.
Reuben Garner: Okay. And on the decking side, in particular, with you guys providing both the substrate and the deck boards themselves, whether it's treated lumber, composite or your other materials, do you have any sense of how many or how much of the decking industry is kind of re-facing an existing substrate versus building an entirely new deck off of the house?I'd imagine that re-facing is something that's a lot easier for a consumer to do at home if they are looking for a project versus having to pour concrete and actually build a structure.
Matt Missad: Yes, that's a great question, Reuben, and I recently saw some information on that and I hesitate to give out the information because I'm not sure of the accuracy of it. But I will tell you that it was roughly 65% to 70% decks are really resurfacing and replacement. So to the extent that, that is helpful to you, I think there is a third-party source for that too. But I think that was kind of the number I heard.
Reuben Garner: Okay, that's very helpful. Thank you. And I understand it's a guess like - but definitely helpful. And then, okay, the last question I have is on the Industrial exposure. Can you give us - and I know you've done a little bit in the past, but just given the environment, is there anything you can do to help us kind of breakdown your end market exposure within Industrial? It's obviously a pretty broad category, I know you've got some Ag and healthcare and some other categories, just so we can try to follow the end markets as closely as we can. And that's it for me and good luck navigating through this, guys.
Matt Missad: Thank you, Reuben. Yes, I - you already know the answer, which is probably why you're signing off, but I'm in the baby step phase. We provided all segment information and trying to get to the individual kind of end user type of information is much more difficult. So I don't think we'll be able to provide that any time soon, but I think if you kind of take the groups that Mike laid out there and that I talked about, you'll be able to get an overall picture of what that looks like.
Reuben Garner: You know I had to try. Thanks, guys.
Matt Missad: Yes.
Operator: Your next question comes from the line of Julio Romero with USCI [ph].
Unidentified Analyst: Hey, good morning. Hope you folks are doing well.
Matt Missad: Good morning, Julio. Hope you're doing well as well.
Unidentified Analyst: So my first question is just on the SG&A. You had some good improvement on the SG&A as a percentage of gross profit year-over-year for the consolidated UFP, but on the Q, shows the Industrial side, the SG&A as a percentage of gross profit rose year-over-year. So I guess, so the implication be that, at least for the first quarter, the other two segments might have seen some better headway on the profitable [ph] initiatives than the Industrial?
Matt Missad: Yes, I think one of the things I tried to point out is within Industrial itself, you have to look at - there's a couple different pieces to it. One is from the Industrial part, that's positioned much more for accelerated leverage of existing personnel. So we expect them to be able to grow significantly without as much of an increase in SG&A. So - and I think part of it is product mix and where we've gone from last year to this year with respect to the individuals involved in Industrial. So part of the characterization of customers and other things that we did as part of our reorganization, I would expect that there is an opportunity in Industrial going forward to again better leverage those costs that are there.
Unidentified Analyst: Okay. That's helpful. And I guess, on the op margins for the segments, I mean do you feel, though, the first quarter op margins are reflective of kind of the segment op margins for the full year or - and if not, maybe you could give us a sense of what your op margins have been in the past?
Matt Missad: Yes, I think if you kind of look at it, Julio, in terms of kind of relative margins, that's probably a reasonable way to look at things. I think one of the things that's called out in the Q is the conversation regarding the impact of lumber market - you're talking about margins in that gross profit dollars per unit, so if you're looking at margins, there is an impact of lumber market in there as well.Mike, do you have any other color on that?
Mike Cole: Yes, I think the only other thing I would add to that, Julio, is seasonality and so Industrial since being an area that tends to be a little less seasonal, a little more steady from quarter to quarter. Retail is an area that's one of the more seasonal, Construction is too. And so in the busier seasons, they leverage the fixed costs a little better in the second and third quarters. So that might make Q1 maybe a little not representative of what the full year might look like.
Unidentified Analyst: Okay. And I guess just my last one here is, from a strategic standpoint, does the sudden disruption of the pandemic maybe create any opportunities for you in any of your businesses? That's the last. Thank you.
Matt Missad: Yes, that's a good question. And obviously we don't want to use this type of a negative situation to wish anybody ill, but I know there are some other companies out there that aren't as particularly well-capitalized and may have deeper struggles than we do. So I do believe there will be opportunities out there over the next year or so. And as I mentioned before, we'll be seeking them out.
Operator: Your next question comes from the line of Jay McCanless with Wedbush.
Jay McCanless: Hey, good morning, guys. Thanks for taking my questions.
Matt Missad: Good morning, Jay.
Mike Cole: Hey, Jay.
Jay McCanless: So first question, customer health, how are you thinking about your customers' balance sheet, what's going on with receivables and if you are seeing some issues, is there a skew to one segment versus another?
Matt Missad: Yes, that's a terrific observation and one of the things I know that Mike and his team are doing with our operations guys is meeting weekly on large customers and taking a look at exactly what you're talking about. Obviously, customer health is very, very important and there are some customers who have not been deemed essential and unfortunately, they're going to struggle. I think we have a very good plan and a very good process for managing that risk. But nonetheless, there is a risk out there and we are definitely aware of it. So overall, we're keeping a close eye on things. I don't think it's based on any individual segment so much as it is based on whether they're essential or non-essential.And clearly, as we said in the earlier remarks, Retail has been deemed essential in most areas, a lot of Industrial customers have not been deemed essential so.
Jay McCanless: And then, let me flip it on to your suppliers. How are you feeling about the financial health of your suppliers? Are there any opportunities you're seeing maybe to vertically integrate? A little color on that would be great. And if there is a skew where you're worried more about being able to keep one segment running versus another, would love to hear about that.
Matt Missad: Yes, I think at this point, we feel very good about our suppliers. We are a very large - usually a top-5 customer of most of the major mill providers to us. And so I think they are in reasonably good shape. They have decent balance sheets so I don't think that's a big - it's a big issue. I think the other part of that, you talked about vertical integration, that's not something that's really on our radar. We like the position that we're in today. There may be other products and things that we would look at, but certainly not for the lumber side, we're not looking at vertically integrating.So hopefully that answers your question. But at this point, it's really more about getting supply from the mills who have curtailed and are reopening and trying to make sure that we can get ample supply. It doesn't favor one segment over another.
Jay McCanless: Got it. Two more from me, and just to follow on that curtailment topic, what are you seeing from that? Have those curtailments picked up or are they starting to slow down?
Matt Missad: We're actually hearing that a couple of mills are planning reopenings and that will help. And one of my other comments, which may sound like an editorial comment, but it's real as we also had mills who - their employees did not want to come back to work until after July 31. And so that put a little bit of a damper on their ability to come back. So but I do think they are looking at reopening in a number of different areas.
Jay McCanless: And then, the last question I had, when you're looking at Construction and maybe some projects being pushed out, are you seeing more push back or delays on resi construction or on commercial projects?
Matt Missad: Yes, I think that's a - there's probably a mixed view there, Jay, because I think on the residential side, I think the homebuilders have not been continuing forward with a lot of their land development plan, so it will take them a little bit of time to reboot. On the commercial construction side, you're seeing where it's essential, that business is continuing on, where it's not essential, it's been stopped. So - and then on the Concrete Forming side, that's been a bright spot. That continues to show a lot of traction and that's been deemed essential in most markets.So if I kind of looked at it that way, that's why I think it's a mixed outlook. But I think there will be, at some point in time, they got to restock that inventory of land.
Jay McCanless: Understood. I appreciate it, guys. Thank you.
Matt Missad: Thank you.
Operator: And I'm showing no further questions at this time. I will turn it back over to Matt Missad for closing remarks.
Matt Missad: Once again, I would like to thank you for spending your time with us on the call this morning. We are deeply saddened by the loss of life caused by COVID-19 and we are equally sensitive to loss of life and livelihood suffered by those impacted by the response to COVID-19. We look forward to a common sense, risk-based reopening of business and livelihoods as rapidly as possible and we hope policymakers act with the same urgency in removing barriers for business activity as they did in putting them up. The massive shutdown of business and opportunities with predictable economic harm, followed by massive government intervention in an attempt to offset that harm will be written about and talked about for years. The actual virus could be a footnote.Instead of a negative story line, we want to write and talk about UFP responding well to adversity and protecting its employees, serving its customers and safeguarding the investment of its shareholders. As I recently read, we might not be in the same storm, but we definitely are not in the same boat. Let's take care to protect the most vulnerable and a lot of the others to safely return to work in life. Life and livelihood need not be mutually exclusive. I expect brighter days ahead. My forecast calls for increasing UV rays, higher temperatures, and higher humidity, which not only kill viruses but can make life more enjoyable.Thank you and have a great day.
Operator: Ladies and gentlemen, this concludes this conference call. Thank you for participating. You may now disconnect.